Operator: Good day, ladies and gentlemen, and welcome to the Ensign Group’s Third Quarter Fiscal Year 2017 Conference Call. At this time all, participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this call is being recorded. I’d now like to turn the call over to Chad Keetch. You may begin.
Chad Keetch: Thank you, Michelle, and welcome, everyone. We filed our earnings press release yesterday and it can be found on the Investor Relations section of our website at www.ensigngroup.net. A replay of this call will also be available on our website until 5:00 p.m. Pacific on Friday, December 1, 2017. We want to remind any listeners to a replay of this call that all statements made or as of today November 9, 2017, and these statements have not been nor will be updated subsequent to today’s call. Also any forward-looking statements made today are based on management’s current expectations, assumptions and beliefs about our business and the environment in which we operate. These statements are subject to risks and uncertainties that could cause our actual results to materially differ from those expressed or implied on today’s call. Listeners should not place undue reliance on forward-looking statements and are encouraged to review our SEC filings for a more complete discussion of factors that could impact our results. Except as required by federal securities laws, Ensign and its affiliates do not undertake to publicly update or revise any forward-looking statements where changes arise as a result of new information, future events, changing circumstances or for any other reason. In addition, The Ensign Group, Inc. is a holding company with no direct operating assets, employees or revenues. Certain of our wholly-owned independent subsidiaries, collectively referred to as the Service Center, provide centralized accounting, payroll, human resources, information technology, legal, risk management and other services to the other operating subsidiaries through contractual relationships with such subsidiaries. In addition, our wholly-owned captive insurance company, which we refer to as the captive, provides certain claims-made coverage to our operating subsidiaries for general and professional liability as well as for workers’ compensation insurance liabilities. The words Ensign, company, we, our and us refer to the Ensign Group and its consolidated subsidiaries. All our operating subsidiaries, the Service Center and the captive are owned by separate, wholly-owned independent companies that have their own management, employees and assets. References herein to the consolidated company and its assets and activities, as well as the terms we, us, our and similar terms used today, are not meant to imply, nor should it be construed as meaning that The Ensign Group Inc. has direct operating assets, employees or revenue or that any of the subsidiaries are operated by The Ensign Group. Also, we supplement our GAAP reporting with non-GAAP metrics. When viewed together with our GAAP results, we believe that these measures can provide a more complete understanding of our business, but they should not be relied upon to the exclusion of GAAP reports. A GAAP to non-GAAP reconciliation is available in yesterday’s press release and is available on our Form 10-Q. And with that, I’ll turn the call over to Christopher Christensen, our President and CEO. Christopher?
Christopher Christensen: Thanks, Chad, and good morning, everyone. Thanks for joining us today. Our organization has been through a lot since last quarter as we’ve experienced the hurricane, tropical storms and wildfires in Northern California. I’ll share a little bit more at the end of our call about some of the amazing stories of selfless service and sacrifice that spread across our organization during this time. But before I say anything else today, I just want to acknowledge the amazing individuals within our organization and their families for all that they did during these tragedies to put our patients and residents first sometimes before their own loved ones. We know that their dedication and sacrifice is not unusual, they live this way every day. But while we would never walk on these kinds of disasters, it shines a light on the amazing people they are and how important this work is to so many. We’re pleased to report that we experienced significant operational improvements across the organization. We’re seeing a positive shift in momentum in our core skilled nursing business and we’re now seeing the ramp in our performance that we’ve been expecting. During the quarter, we experienced positive trends in the Transitional and Skilled Services segment with an increase of 26.2% in segment income over the prior year quarter, and an increase of 16.3% sequentially over the second quarter. Our GAAP earnings per share for the quarter was up 28.6% over the prior year quarter to $0.27 and adjusted earnings per share was up 12.5% to a record $0.36. Over the years, we’ve often discussed the organic growth potential within our portfolio. Based on feedback we’ve received, we wanted to take this opportunity to explain what we mean when we describe organic growth. Throughout our history, we’ve primarily focused on acquisitions on distressed healthcare operations that require significant clinical, financial and cultural turnarounds. In a few rare instances, when it made sense for strategic reasons, we paid a multiple on earnings. But the vast majority of our deals are turnarounds that require the application of proven Ensign principles to transform them into something great. So because most of these operations are losing money at the time we acquire them, the value and growth that we experience is all organic. When we talk about organic growth, we’re speaking about the turnaround that has to occur in nearly all of our acquisitions before they contribute to the bottom line. Over the last 17 years, we’ve established a track record of both top and bottom line organic growth. Though we often experience significant improvements in performance in the first quarter after we take ownership, it’s very difficult to make a comparison due to the varying standards and bookkeeping maintained by the seller. However, we can show our average operational improvements that occur after we take over operations. More specifically, across all of our skilled nursing acquisitions, our average improvement between the first quarter of ownership and the fifth quarter in occupancy, skilled mix revenue and EBITDAR margin is 394, 673 and 219 basis points, respectively. Between the first quarter and the 13th quarter, the average improvement in these same skilled mix revenue and EBITDAR measures is 441, 1,165 and 330 basis points, respectively. It often takes several years to truly transition a healthcare operation, as the clinical reputation and culture transitions take time to transform. Of course, some transitions are quicker than others, but over the period of 18 years and 230 acquisitions, this pathway to progress has been proven over and over again. As we talked about many times over the last few quarters, we’re coming off some of our largest acquisition years. Over the last several years, our talented local leaders have been tirelessly integrating 46 recently acquired and 68 transitioning skilled nursing and assisted living operations into the organization. We’re very excited to see this multi-year process beginning to bear fruit in spite of some challenging circumstances. Over the next several years, as the wave of baby boomers arrives and networks continue to narrow, we’re positioned to capitalize on the enormous organic growth potential inherent in our core skilled nursing business. Our local teams continue their focus on providing the highest quality post-acute care. During the year, 60 more of our skilled nursing operations achieved four and five star ratings during the quarter. And with those additions, 102 of our skilled nursing operations carry that designation at quarter-end. The other operations most of which were one and two operations at the time of acquisition continue to make the improvements necessary to gradually increase their star ratings. With a focus on strengthening outcomes, lowering readmission rates and extending our capabilities to care for more complex patients across the post-acute continuum, we continue to invest in the best care pathways and new clinical programs in post-acute care. As a result, we’re seeing significant improvements in key indicators related to outcomes and satisfaction, which drives occupancy and skilled mix. We’re also very encouraged by the continued success of our new business ventures, including assisted living, home health, hospice care, non-emergency medical transportation and other post-acute care services. While we understand that skilled nursing often overshadows everything else, we’ve been quietly building significantly value in our other ventures. Under the direction of key leaders and their independent service center resources, these operations have achieved consistent clinical and financial results, while simultaneously bolstering our core skilled nursing operations. We expect to see each of these segments grow by acquiring underperforming assets and operations. As they apply proven Ensign principles, we believe this often forgotten underlying value will become increasingly more difficult to ignore. Our assisted living and independent living portfolio, which consists of 49 standalone operations and 21 campuses in 12 states now represents 7.5% of our total consolidated revenue, while only representing 4.8% of those measures just three years ago. Similarly, Cornerstone Healthcare, Ensign’s home health and hospice portfolio company now represents 7.6% of Ensign’s total consolidated revenue, while only representing a little over 5% of those measures three years ago. The income growth that each of these business ventures has achieved is further evidence of the organization’s agility and ability to apply its operating principles in several healthcare services. Collectively, these two business segments along with a few other new healthcare ventures within the portfolio are quickly approaching the size of Ensign, when it completed its initial public offering in 2007. And each and everyone of these ventures are independently profitable and self-sustaining. We’re also excited about the underlying value being created in our own real estate since we spun-out all but one of our real estate assets to CareTrust REIT in 2014. We’ve added 138 operations and acquired 62 real estate assets. Prior to the spin transaction, our shareholders received little to no credit for the incredible amount of underlying value in those 96 assets now owned by CareTrust. As we anticipated at the time of the spin, we methodically built another attractive real estate portfolio that continues to create value. However, that value is again being overlooked. As an operationally-driven organization, we’ll continue to focus on creating value through solid operational performance. But we also believe it’s important to recognize the growing underlying value in our own real estate. And that there are many options available to us to unlock this value for the benefit of our shareholders. As we announced yesterday, we’re reaffirming our 2017 revenue guidance of $1.76 billion to $1.8 billion and adjusted our 2017 annual earnings per share guidance to between $1.39 and $1.42 per diluted share. Overall, this adjustment represents a 5% decrease, or $0.07 per share in our annual earnings guidance. The high-end of the adjusted guidance also represents approximately 10% growth in EPS over our 2016 results. As with last quarter, our operating results this quarter were impacted by an increase in healthcare insurance costs. Had these expenses as a percentage of revenue remained at the same levels as in 2016, our year-to-date earnings per share would have been $0.09 higher. Our operational improvement have made up for $0.02 of that impact from the first three quarters. And while we expect to make up more in the fourth quarter, the impact will probably be too much for us to overcome this year. We didn’t adjust our non-GAAP earnings to exclude this healthcare impact. But if we had done so, our EPS would have represented a 16% increase over 2016 results. We continue to evaluate the cause for these increased cost and expect to find ways to improve the predictability going forward. Lastly, in order to provide some additional insights into our future expectations, we’re giving 2018 revenue guidance of $2 billion to $2.06 billion, and annual earnings per share guidance of $1.58 to $1.66 per diluted share for 2018. This guidance represents a significant improvement over 2017 results. We’re very excited about the fourth quarter in the coming year and are confident of the near-term and long-term future of Ensign is bright. And with that, I’ll ask Chad to give us an update on our recent investment activity. Chad?
Chad Keetch: Thank you, Christopher. During the quarter, we paid a cash dividend of $0.0425 per share of common stock. Ensign has been a dividend-paying company since 2002 and has increased its dividend every year for 15 years. Also during the quarter and since, the company’s subsidiaries made the following acquisitions. On July 1 2017, The Villas at Sunny Acres, a post-acute care and retirement community with 134 skilled nursing beds, 35 assisted living units and 198 independent living units set on 64 acres in Thornton, Colorado, and Medallion Post Acute Rehabilitation, a 60-bed skilled nursing operation and Medallion Villas, a 44 unit assisted living and 64 unit independent living operation, both set on a single healthcare campus in Colorado Springs Colorado. On August 1, 2017, Parkside Senior Living, a 20-unit assisted living facility in Neenah, Wisconsin; on August 16 2017, a subsidiary of Cornerstone Healthcare our home health and hospice subsidiary acquired Island Home Health, a home health agency serving Northern Washington. On September 1, Desert Blossom Health and Rehabilitation Center, an 88-bed skilled nursing facility located in Mesa, Arizona and Pueblo Springs Rehabilitation Center, a 115-bed skilled nursing facility located in Tucson, Arizona. Also on September 1 Cornerstone acquired Comfort Hospice Care a hospice provider serving Las Vegas and surrounding communities in Southern Nevada. On October 19, Pointe Meadows Health and Rehabilitation, a newly constructed 99-bed skilled nursing facility located in Lehigh Utah and which is the last outstanding new build commitment for the time being. And on November 1, Cornerstone acquired the assets of Excell Home Care and Hospice and Excell Private Care Services in Oklahoma City Oklahoma. This brings Ensign’s growing portfolio to 230 healthcare operations, 22 hospice agencies, 20 home health agencies and four home care businesses across 15 states. As Christopher mentioned earlier, we now own the real estate of 63 of our 230 healthcare facilities within the portfolio, and 58 of those owned assets are completely unlevered. During the quarter, we completed two HUD insured mortgages on two of our own assets in the amount of $19.8 million. These mortgages are amortized over a period of 35 years at a rate of 3.99%. We now have HUD commitments on 15 more of our 63 owned assets and expect those financings to close in several tranches over the next few months. We will use the proceeds of these loans to pay down our revolving line of credit, locking in fixed, long-term financing at very favorable rates. As we do so, we add to our liquidity and our ability to acquire well-performing and struggling skilled nursing and assisted living operations, as well as hospice and home health agencies. This is one of many levers real estate ownership provides to us. And as we have said repeatedly, this is just one of the reasons we continue to purchase underperforming real estate assets. We continue to see a steady flow of acquisition opportunities across all our business segments. As those of you that have been following our industry know, there have been several publicly announced acquisitions of larger skilled nursing portfolios, such as the Kindred skilled nursing assets and a few other midsize regional firms. The size, scale and publicity of these portfolios generally attract competition from financial buyers. As a result, these assets generally trade at a premium and to often lead to purchase prices and lease coverages that leave the operators very vulnerable to rent escalators. We watch this very closely and our operations driven acquisition strategy is the ultimate check and balance on putting ourselves in that position. Where it makes sense, we participate in small pieces of these larger portfolio transactions and expect to participate in some of these transactions next year. This approach allows us to select the assets that provide the most upside and the geographies in which we are prepared to grow. In the meantime, the pace of our acquisitions has normalized this year due to the fact that we are coming off two of our most aggressive years in our history and our focus has been on integrating our newly acquired and transitioning assets into our portfolio. However, as contrary in buyers, we’ve also passed on many opportunities based on pricing we believe to be irrational. e remain committed to being disciplined in our lease negotiations and we’ll be very methodical in our movement into new states. The pipeline for our typical turnaround opportunities remain strong, and we remain confident that there are and will be many, many opportunities to be had at right prices. In the near-term, we are currently working on a variety of sellers ranging from small mom-and-pop and nonprofit operation – operations to well-known public and private operators that are looking to dispose of non-core or turnaround assets. We expect to acquire some of these operations later in the fourth quarter and are currently evaluating many opportunities that we would anticipate closing in the first few quarters of 2018. Before we turn it back to Christopher, I’ll turn the time over to Suzanne to provide more detail on the company’s financial performance and our guidance. Suzanne?
Suzanne Snapper: Thanks, Chad, and good morning, everyone. Detailed financials for the quarter are contained in our 10-Q and press release. Highlights for the quarter include GAAP earnings per share were up 28.6% over the prior year to $0.37 per diluted share, and adjusted earnings per share were up 12.5% to a record $0.36. Consolidated GAAP net income was $14.2 million, an increase of 27% over the prior year, and consolidated adjusted net income was $18.8 million, an increase of 13.8% over the prior year. Transitional and skilled services segment income was $36.9 million, an increase of 26.2% over the prior year and an increase of 16.3% sequentially over the second quarter. Same-store skilled nursing revenue grew by 4.5% over the prior year quarter to $238 million, and same-store managed care revenue grew by 9.7% over the prior year quarter to $40 million. And same – assisted living and independent living service segment revenue and income were up 13.5% to $35.5 million, and as well as 67% to $4.3 million, respectively, over the prior year quarter. Other key metrics as of September 30 included cash and cash equivalents of $40.1 million and $135 million as availability on our $300 million revolving line of credit. Our lease-adjusted net-debt-to-EBITDAR ratio increased to 4.24 times due to the anticipated – due to the acquisition of additional real estate asset – assets during the quarter. As Christopher mentioned, we have invested $361.6 million in real estate assets since June of 2014 and this has naturally led to an increase in our debt levels. However, we expect a net debt adjusted to EBITDAR ratios to return to historical levels over time as the – as transitioning and newly acquired operations add EBITDAR to consolidated operating results. For 2017, we’re projecting revenues of $1.76 billion to $1.8 billion and adjusted earnings of $1.39 to $1.42 per diluted share. We are also announcing our 2018 guidance of $2 billion to $2.16 billion in revenues and adjusted earnings of $1.58 to $1.66 per diluted share. The 2017 and 2018 guidance is based on diluted weighted average adjusted shares, common shares outstanding at 53 million for 2017 and 54.3 million for 2018. Exclusion of acquisition-related costs and amortization costs related to patient-based intangibles, exclusion of losses associated with the development of new – newly – new acquisitions and startup operations, which are not yet established, the exclusion of legal cost and charge backs related to class action lawsuit, the exclusions of cost associated with closed operations, the inclusion of anticipated Medicare and Medicaid reimbursement rates, the tax rate of 35.5%, the exclusion of stock-based compensation and the inclusion of acquisitions closed by the end of the year. Additional factors contributing to our asymmetrical quarters include: variations in reimbursement systems; the delays and changes of state budgets; the seasonality and occupancy and skilled mix; the influence of the general economy of our census and staffing; the impact of our acquisition activities and variations in our insurance accrual and other factors. Before I hand the call over to Christopher, I wanted to make a brief statement on our free cash flow. As those who have been following us for the last several years now, we had taken on several of new to construction transitional care facilities over several geographies. Each of these startup operations require significant cash infusion of networking capital. These operational startup costs continue for a period of 12 to 24 months on the date of the building’s opening. We’re in various stages of this process on these newly constructed operations, but expect that the short-term drag on free cash flow to lessen over time as these operations mature. As Christopher mentioned earlier, most of these operations are struggling financially at the time we acquired. As we go through the multiple year transition process and then improving sets of skilled mix, which often increase significant remodeling and other capital expenditures, these operations also have a short-term impact on free cash flow. In addition, when we acquire a skilled nursing facility, we experienced temporary delays in our ability to collect our receivables as we undergo our process with Medicare, Medicaid and managed care agencies to transfer the contracts and billing codes to Ensign affiliated account. This temporary delay in collections can result in a negative free cash flows, was which is consistent with what we’d expect during the period of significant growth. Over the last few years, 49 of our operations have participated in Medicaid programs in Texas and Utah that have a temporary impact on our cash flows. The application process of these programs require the same steps that our newly acquired buildings must fulfill, which impacts our billing codes and contracts. All of these factors have combined to impact our cash flows, but they are temporary and expected. As our new builds and turnaround operations mature and as our paperwork requirements with Medicare, Medicaid managed care operations are complete, we expect our free cash flow to improve. With that, I’ll turn the call back over to Christopher/
Christopher Christensen: Thanks, Suzanne. I just want to clarify that our revenue guidance for 2018 is between $2 billion and $2.06 billion. As those of you who have been listening our calls for years know, we’ve often pointed a specific examples of operations that are making the biggest impact on our organization and the communities they are in. This quarter, we’re going to change it just a little bit. Because of the unusual circumstances of the last quarter, there are plenty of stories we could share maybe in that same line of thinking. But we had some very unusual experiences in Texas and California over the last quarter and at the risk of singling out just a few acts of selflessness among so many. We wanted to take a few moments to share some of their inspiring acts of service in the face of disaster and tragedy. And I want to remind you that, as they dealt with all this, they still had extraordinary results in the midst of this. When hurricane Harvey and the resilient tropical storm hit Texas, it impacted many of our Texas operations and our people there, especially in the Houston area. Prior to the storm, we took the preventative steps to evacuate our residents from one of our operations that was in the immediate path of the hurricane to assist a facility in the San Antonio area. Repairs have been made and most of the residents have now returned as things are slowly returning to normal. While we were certainly grateful that our patients in buildings were all kept safe suffering minimal damage, many of our team members lost all of their possessions. Under these incredible circumstances, our amazing administrators, nurses, therapist, and other team members demonstrated that this is more than a job. It’s a calling that they take very personally and they treat their patients like they were their own family. For instance, in Southland Rehab and Healthcare Center in Lufkin, Texas led by Executive Director, Becky Jerke; and Director of Nursing, Jacqueline Teal, became a place of refuge for residents of a skilled nursing facility in Port Arthur, Texas. At 2:00 in the morning, during the second landfall of the hurricane, 31 patients arrived at their door. They’d been rescued from their facility by the – oh my goodness, by these – sorry?
Chad Keetch: By the Navy.
Christopher Christensen: By the Navy. Thank you, by boat after floodwaters rose to dangerous levels. And they were transported by a flatbed trailer to a helicopter and then later to a bus. The residents described what they had been – that they’ve been in waist deep water for over 24 hours with only crackers to eat. Upon arrival, most patients were wet and cold with no accompanying medical records. When team Southland became aware of these displaced patients, they immediately began preparations and were waiting for their early morning arrival Becky and Jackie rallied their staff together and the building rolled out the welcome mat to make the transition as smooth as it could possibly be given. Within a couple of hours, all of the patients had hot showers. They were served a hot meal and were resting quietly in their beds. They were so happy to be finally off the bus. And the Southland team did such an amazing job in making this happen. Several of the patients cried with relief that they were finally safe and had people caring, rushing to meet their needs. Family members of our staff even pitched in and were helping to bring the patients in from the bus and get them settled. One patient explained, I had a hot shower, hot food and a warm bed waiting, this is like heaven. With tears rolling down his face, one patient was devastated to find that she and her husband have been separated during the rescue. However, Jackie our nursing leader jumped right in and promised her that she would locate her husband. By noon that same morning she found him and made arrangements for their reunion. We’re all so grateful to the Southland team for how they were willing to give so selflessly in such a time of need. This is just one example of so many just like it at other Ensign affiliate operations during this harrowing storm and the ensuing recovery. On Monday, October 9, the devastating fire swept through Sonoma, Napa and Mendocino Counties, eventually destroying thousands of homes and businesses. For nearly a week, all six of our Northern California operations were threatened with evacuation. Fortunately, no operations were destroyed. However, three of our facilities experienced either a partial or full evacuation. We’re happy to report that most of the residents have now returned and operations are running smoothly. One of the facilities that had to be fully evacuated was Parkview Gardens in Santa Rosa led by Executive Director, Brent Thatcher. [Lupe and Rego Vidreo] [ph] our longtime plant supervisor and dietary supervisor, both of whom woke to the smell of fire in the middle of the night Rego [ph] walked across, sorry, Rego walked outside and saw the fires on both sides of his house. The fence in his backyard was starting to catch fire. They woke the kids, jumped in their car and drove through the fires to escape. Unfortunately, Lupe and Rego lost everything. Amazingly, later that day, that same day and in spite of their difficult loss, the couple made their way through roadblocks and significant traffic to come to the facility. They wanted to make sure that all of their residents were fed and that they had the assistance they needed with the evacuation. Lupe and Rego were joined by a bulk of the Parkview care team who showed up worked extra shifts until we had everyone safely evacuated. Many of these caregivers had no way to know if they still had a home or if their own families were safe, but they stayed to make sure their patients were safe. Paul Hansen, One of our therapist left his house with nothing, but the clothes on his back. His house burned completely down to the ground in the middle of the night yet like Lupe and Rego, he arrived at Parkview a few hours later to help with patient care and the evacuation knowing that he didn’t have a home anymore. Once all patients were safely placed in a new location, he and countless other members of the Parkview team continue to visit and work shifts in other facilities to care for their patients. They did this even as many of them lost their own homes. Just down the street, our Summerfield Healthcare operation less than a mile away led by Executive Director, Cason Bush was also fully evacuated due to the proximity of the fires. What could have been the most chaotic disorganized and stressful moment in Summerfield’s history was instead an event of true teamwork sacrifice and compassion maybe their finest moment. Securing the necessary and appropriate means of transportation was next to impossible, as most resources were currently being utilized to transport patients from to nearby hospitals who were in the middle of their own evacuations. Many staff members volunteered their own vehicles without hesitation to be used in an effort to get their residents to safety. Over the next seven days, the staff at Summerfield remained committed to the health safety and well being of these patients and visited over nine locations to see their patients. Throughout this disaster and even in the midst of so much personal worry and loss, the staff at Summerfield Healthcare showed resilience, commitment, dedication and compassion to the patients they served. The week of October 9th was scary and stressful. But we were humbled and beyond grateful to see how so many acted quickly, selflessly and compassionately for their patients that they truly love. So what about our partners who lost everything? Well, several years ago and in response to some difficult situations faced by some of our caregivers, we established to fund to help our partners when unexpected events arise in their lives. The emergency fund is our way of passing the hat to help those coworkers whose lives are turned upside down by tragedy. We invite all affiliated employees to donate whatever they can each pay period to the fund through payroll deductions or one-time gifts, and even donations of accrued vacation benefits. Donations come from over 40% of our employee base ranging from $1 per paycheck to well over $200 per paycheck. Employees experiencing emergency financial need receive immediate financial help from the fund, which is led by their peers. Since its inception, the emergency fund has distributed approximately $2 million to affiliated employees in need, and 100% of the dollars raised goes straight to the employees that need the funds. Almost immediately after these emergencies took place, the entire company sprung to action. For example, our Cloverdale facility in the small town of Cloverdale, California hosted a taco fundraiser. Lake Pleasant hosted a special style barbecue fundraiser. St. Joseph’s Villa in Salt Lake City, a breakfast burrito sale, on and on and on and on. Our compliance team organized an adopt a family program where they took an inventory of the needs of over 60 families and put together a truckload after truckload full of things like food, cookware, linens, cleaning supplies, baby supplies, clothes, shoes, et cetera, et cetera. There are dozens of stories, if not hundreds of stories, who stretched – of those who stretched and who were incredibly generous that they jumped to meet the needs of their fellow employees, employees who in most cases the givers had never met. We receive generous donations from everybody in our organization, vendors, landlords, even individuals that have no connection to the organization, but simply wanted to help. While funds are still coming in, we were able to raise over $430,000 from payroll deductions, vacation donations, cash donations fundraisers, sister facilities like these plus all of the supplies we mentioned earlier. More are still pouring in for the victims of fires in California. While we don’t have time to tell all the stories of the individuals, these funds were able to help. There are dozens of our partners who lost everything. With the help of these funds, many have been able to begin rebuilding their lives. We often talk about how important our culture is to us, but it’s in times like these that we realize. In times like these we realize that culture is much more important than words on the wall. It’s what truly drives us and our organization to become what we aspire to be. Words cannot express how honored we feel to be associated with so many amazing individuals. Thank you for all that you do and for who you are. We want to again thank you for joining us today and express our appreciation to our shareholders for their confidence and support. We appreciate our colleagues in the field and the service center for making us better every day. We know this call is a little bit long, but we thought all of this was important to share with you. Michelle, do you mind telling us what we need to do for Q&A?
Operator: Sure. [Operator Instructions] Our first question comes from Chad Vanacore of Stifel. Your line is open.
Chad Vanacore: Hey, good afternoon.
Christopher Christensen: Hi, Chad.
Chad Keetch: Hey, Chad, what’s up?
Chad Vanacore: All right. So I was just thinking about, you had mentioned cost of service had been a drag and you point your spike in healthcare costs, in particular, and it created short-term drag. The same thing has been going on for the last couple of quarter. So what’s weighted in benefit inflation then in the skilled nursing business recently? And where do you think it should be?
Christopher Christensen: Yes, asset again, Chad. I heard all the preface. But your specific question is, what weighted down?
Chad Vanacore: No, no, what’s inflation on the skilled nursing wage side?
Christopher Christensen: That’s a good question. I don’t know that I know the exact percentage, but there definitely is, because the economy obviously is super healthy in every market that we’re in and probably in most markets across the country. We’re not familiar with all the markets. But I think if I were to guess, we have traditionally experienced a 2% to 3% increase. And I think that over the last year-and-a-half or so, maybe two years, we’ve probably been more in the 4% to 5% range.
Chad Vanacore: Okay. And then just thinking about your 2018 guidance, which you took down 2017, you introduced 2018 guidance, that implies around a 15% EPS growth. So what kind of growth assumptions are there for that – the same-store bucket versus the newly acquired versus the transitional?
Christopher Christensen: Well, as you might imagine, the same-store bucket will experience a smaller single-digit growth as it has recently, as we’ve gotten healthier and healthier. So if I were to sign this and obviously, this is a range. But I would say, the same-store is going to grow at a rate of 3% to 5% and the transitioning is going to grow at a higher single-digit pace, and the new acquisitions will be a very strong double-digit pace that will be sort of in line with that one section we talked about on –earlier on the earnings call. And then you also have some other additions that have kind of been in the adjusted number or been excluded, I guess, from the adjusted number you have, the new builds that will be added to that, most of the new builds, except the brand-new new builds that we just completed a few weeks ago. But – and so that will add to that number as well. But that’s where most of the growth, I guess, I shouldn’t say most, because obviously, the biggest bucket is the same-store. So in terms of dollar amounts, same-store will still have a very significant impact. But in terms of percentage growth, it will be a – it will have a smaller impact.
Chad Vanacore: All right. And then what do you make as far as assumptions in out years or in 2018 as far as occupancies, skilled mix, wage inflation? Do these things get better? Are we assuming we bottom in 2017 and should improve in 2018, or is it more the same?
Christopher Christensen: Yes, I think, if you look at us and I can only comment us, but we – I think, you’ll see that we sort of bottomed between the latter part of last year and the first-half of this year. And we think that there will be good progress not as good as it should be, because we still see that there are better years to come after 2019 in terms of occupancy. But in our model, which I think you’re asking about, we anticipate between – in same-store, we anticipate between a 1 and 1.5 percentage point improvement in our overall occupancy. We expect it to be a little bigger than that in the other two buckets. But I think, overall, it’s less than 2%.
Chad Vanacore: Okay. And there’s one last question. Just thinking about – you brought down 2017 guidance. What was the main drag there? Was it the healthcare costs, or what are you thinking as far as fourth quarter and the rest of 2017?
Christopher Christensen: Yes, I think the healthcare costs were a burdensome. But I think, I would be – I wouldn’t be totally forthright if I didn’t share with you of the things we shared earlier in the year. We made some mistakes in some acquisitions we did in the timing and the location of those acquisitions. We made some mistakes entering a few too many states, I think, at the same time, where we weren’t as prepared as we should have been, and those certainly contributed to it. But I think one of the things we’re trying to point out, we weren’t trying to absolve ourselves of responsibility. We’re simply trying to say, we would have hit our guidance anyway if these healthcare costs hadn’t been so unexpectedly high, and we’re working on that, too. But there were some, as I think, we said earlier in the year, we did make some mistakes that were corrected, and it’s been a good learning experience for us. And we feel confident that we can correct our course and that they’re not mistakes that are going to haunt us forever.
Chad Vanacore: All right. Thanks for taking the questions.
Christopher Christensen: Thank you.
Operator: Our next question comes from Dana Hambly of Stephens. Your line is open.
Dana Hambly: Thanks for taking my questions. Chris, on the – there’s a fair amount of noise in the industry on utilization pressures and then what is it doing to the margins. I know your EBITDAR consolidated margins year-to-date are down about 80 basis points, I think, it was less in this quarter, but still a pretty good amount. Would you be able to talk to kind of your same-store margins, or why your margins are down this year? Is it more of a mix of the business, or are you seeing deterioration across the buckets?
Christopher Christensen: So first just to clarify, the 80 basis points, is that our consolidated or is that our same-store?
Dana Hambly: No, no I’m just – your year-to-date through the first nine months EBITDAR margin versus last year?
Christopher Christensen: Yes.
Dana Hambly: I think, it was down 50 basis points [Multiple Speakers] quarter-to-quarter?
Suzanne Snapper: Yes, I mean, obviously, that’s being dragged down by the healthcare stuff that we talked. Obviously, that has a big pull on it. When you take that into account, that’s dragging down quite substantially quarter-over-quarter, I mean, when you’re doing it sequentially, obviously, that’s taking up a little bit of the current quarter, because it improves quarter-over-quarter, but that’s definitely dragging it down year-over-year when you’re doing a comparison.
Christopher Christensen: Yes. And on a consolidated basis, remember, that that $9 million is in there. We didn’t extract it. So you – if you remove that $9 million and redo the calculation, I think, you’ll see expanding margins, but your question is still good. We definitely have seen contraction in margins and as we’ve adjusted to the new world, when we’ve talked about this, we talked about it in specific markets. But across the whole organization, we see an adjustment period, where the margins do contract. And then once we get really good at it and we do the things that we ought to be doing in the ancillary world then – and in terms of our marketing strategy and in terms of aligning with the right – the – with the right healthcare systems, we see those margins begin to expand again. But we are going through this transition period. And in our healthiest markets, the markets that have always contributed the most in our history, we feel like those margins are actually expanding now, but that doesn’t mean that everybody is through that contraction or period yet.
Dana Hambly: Okay, all right. And so last year you came out, I think, midyear and gave guidance for 2017, and I think that kind of came back to bite you, as you eventually had to lower that So why give 2018 guidance now, and what gives you better confidence that the visibility is better for 2018 than it was for 2016 or 2017?
Christopher Christensen: It’s funny you say that, Dana, because we were talking about this, this morning and how some years we give it in February and some years we give it in November, and we probably need to get more consistent. But I think we felt more comfortable in light of what was happening in the third quarter. We could see finally, that what we’ve been talking about is happening. And so we felt like we had a little bit better – well, if not a little bit, a lot better visibility now than we have had then we sometimes have in November. And we feel pretty confident about this trend that we see. We wanted everybody to see that we feel confident enough that what we see in the fourth quarter already obviously, we’re in November, we’re almost halfway through November. So we have pretty good insight into where we are. We think that the momentum will continue. And I think that you’ll probably see, I hate to commit absolutely, but I think, you’ll probably see us do this in the future, giving guidance for the following year in November. I don’t – it’s probably not as helpful for us when we’re already two months into the new year to give you guidance for the following year. But we’ve done this before. We just haven’t been as consistent as we probably need to be.
Dana Hambly: Okay. All right. That’s helpful. Last one for me, Christopher, the press release and in your prepared comments talked a lot about the underlined value of the home health business, the real estate, the assisted living, just why kind of introduce those comments now and you’ve gone this far? So why don’t you just tell us exactly what that stuff is all worth?
Christopher Christensen: Yes. Well, because as you know, in Wall Street what that stuff is worth varies from day-to-day.
Dana Hambly: Okay.
Christopher Christensen: So I think it was more – we’ve actually been sharing this Dana. We’ve been sharing the exact same thing over and over again. We just kind of feel like, it wasn’t obvious enough for people to see it. So we try to make it a little bit more obvious. But if you look backwards, you’ll see that we’ve been sharing stuff like this before. But we were a little bit more direct about it this time now.
Dana Hambly: It makes sense. As far as the real estate, remind us – CareTrust, I think, maybe the – some tax laws have changed since you did cared for us. Would you be able to spinout real estate in other tax-free manner or what are the other options there?
Christopher Christensen: That probably wouldn’t even be what we would consider doing anyway. In that sort of manner, if we were to do something, and remember, I said, if we were to do something, we would do something in a way where we could still be involved and they could be involved with us and then you can’t do that in a tax-free spend. So the – it’s nice to save the taxes in a transaction like that. But it – there are some other reasons in terms of culture and in terms of continuing to impact each other that we’d like to keep if we were ever to do any – if we were able to do anything like that.
Dana Hambly: If, okay. All right. Thanks very much.
Operator: There are no further questions. I’ll turn the call back over to Christopher Christensen for any closing remarks.
Christopher Christensen: Michelle, thank you. We appreciate it. We know it’s been a long time. Thanks for all your trust and your – and to all those who have joined us on this call Have a great rest of the day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program, and you may all disconnect. Everyone, have a great day.